Operator: Good day, and thank you for standing by. Welcome to China Yuchai International Limited Second Half 2025 Financial Results. [Operator Instructions] Please be advised that today's conference call is being recorded. I would now like to turn the conference over to Kevin Theiss. Please go ahead, sir.
Kevin Theiss: Thank you for joining us today, and welcome to China Yuchai International Limited Conference Call and Webcast for the 2025 Second half and year ended on December 31, 2025. Joining us today are Mr. Weng Ming Hoh and Mr. Choon Sen Loo, President and Chief Financial Officer of CYI, respectively. In addition, we have in attendance, Mr. [ Kelvin Lai ], General Manager of Operations of CYI and the Chairman of MTU Yuchai Power Company Limited, MTU Yuchai Power. Before we begin, I will remind all listeners that throughout this call, we may make statements that may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The words believe, expect, anticipate, project, targets, optimistic, confident that, continue to, predict, intend, aim, will or similar expressions are intended to identify forward-looking statements. All statements other than statements of historical fact are statements that may be deemed forward-looking statements. These forward-looking statements include, but are not limited to, statements concerning the company's operations and its financial performance and condition and are based on current expectations, beliefs and assumptions, which are subject to change at any time. The company cautions that these statements, by their nature, involve risks and uncertainties, and actual results may differ materially depending on a variety of important factors such as government and stock exchange regulations, competition, political, economic and social conditions around the world and in China, including those discussed in the company's Form 20-F and under the headings Risk Factors, Results of Operations and Business Overview and in other reports filed with the Securities and Exchange Commission from time to time. All forward-looking statements are applicable only as of the date they are made, and the company specifically disclaims any obligation to maintain or update the forward-looking information, whether of the nature contained in the press release made today or today's conference call or otherwise in the future. Mr. Hoh will provide a brief overview and summary, and then Mr. Loo will review the financial results for the second half and fiscal year ended December 31, 2025. Thereafter, we will conduct a question-and-answer session. For the purposes of today's call, the 2025 second half and fiscal year numbers are unaudited. The 2024 second half year are unaudited and the 2024 fiscal year financial results are audited. Financial results are presented in RMB and U.S. dollars. All the financial information presented is reported using the IFRS accounting standards as issued by the International Accounting Standards Board. With that, Mr. Hoh, please begin your prepared remarks.
Weng Ming Hoh: Thank you, Kevin. We are pleased to report a strong sales and profit growth in the second half and full year of 2025. For second half 2025, our revenue in the second half increased by 33.5% year-over-year to RMB 1.8 billion or USD 1.7 billion. Our gross profit increased by 58.4% year-over-year to RMB 2.2 billion or USD 317 million, and our gross margin rose to 18.9%. Our operating profit increased by 193.1% year-over-year to RMB 469.2 million or USD 66.7 million. Basic and diluted earnings per share improved by RMB 108.7 million year-over-year to RMB 4.57 or USD 0.65. For fiscal year of 2025, revenue increased by 28.9% to RMB 24.7 billion or USD 3.5 billion. Gross profit increased by 44.3% year-on-year to RMB 4.1 billion or USD 578.7 million and gross margin rose to 16.5%. Operating profit improved by 82.7% to RMB 1.1 billion or USD 155.2 million. Basic and diluted earnings per share increased by 34.4% to RMB 14.32 or USD 2.04. Our revenue growth in 2025 second half and year was generated by higher unit sales in nearly every reporting category. Gross profit and margin were enhanced by the increased unit sales volume, especially for heavy-duty and high-cost power engines. Our off-road engine unit sales in 2025 increased by 13% year-over-year with marine and genset engines and industrial engines each recording unit sales growth of over 24% year-over-year. The fast-growing demand for backup generators to provide reliable electric power for data center operations created rapid growth for our engines. Combined sales of MTU Yuchai Power and Yuchai branded high horsepower engines to data centers exceeded 2,000 units in 2025, up from 750 units in the prior year. To meet the expected increase in demand for our power generating engines, production capacity expansion is well underway. Exports were an important sales channel as our globalization has been increasing. Our agreement in Vietnam includes Yuchai support for construction of our partners' production facility, which complements our Thailand production operations. Buses powered by Yuchai natural gas engines were delivered in Mexico, bringing the total Yuchai engine count to 2,400 units powering buses in the Nuevo Leon region of Mexico. Our foundry began batch delivery of advanced casting to Germany, demonstrating the acceptance of our casting product quality by the customer. We are expanding our international sales and service support offices as we believe potential new international partnerships will strengthen our global reach. Our strategy remains to sell into multiple end markets with a growing and diverse product portfolio. R&D expenses increased by 37.3% to RMB 1.4 billion or USD 192.3 million in the fiscal year of 2025. Yuchai continued to enhance engine efficiency and performance of its National VI and Tier 4 emission compliant engines and power generation engines. Progress continued on developing new energy products, including alternative fuel engines using hydrogen, methanol and ammonia combustion technologies. Total R&D expenditure, including capitalized costs, was RMB 1.5 billion or USD 217.1 million. Our strategic alliances and joint ventures produced a 9.4% year-over-year growth in profit in 2025, propelled by higher sales and profit mainly by MTU Yuchai. Recently, we took proactive steps to strengthen our technological capabilities and supply chain resilience by improving access to key components and advancing our participation in critical technology development. We acquired a 27.97% equity interest in Nanyue Diankong (Hengyang) Industrial Technology Company, which is a national high-tech industrial leader specializing in fuel injection system, including common rail system, unit pump and mechanical parts. In addition, we became a limited partner in the Guangxi China Double Growth Fund, a private equity fund focused on investing in emerging and innovative technologies. Our indirect subsidiary, Guangxi Yuchai Marine and Genset Power Company filed an application for listing with the Hong Kong Stock Exchange in January 2026. The potential listing is subject to review and approval by the Hong Kong Stock Exchange and relevant regulatory authorities and market conditions. We believe this action will provide more resources to enhance their operations growth. Highlighting the company's confidence in future revenue, profits and cash flow generation, we paid a cash dividend of $0.53 per ordinary share in July 2025 to show our commitment to building shareholder value. Cash and bank balances were over RMB 7.9 billion or USD 1.1 billion as at December 31, 2025. With that, I'd now like to turn the call over to Mr. Sen Loo, our Chief Financial Officer, who will provide more details on the financial results. Choon Sen?
Choon Sen Loo: Thank you, Weng Ming. Now let me review our unaudited 6 months and full year results ended December 31, 2025. For the 6 months, our revenue increased by 33.5% to RMB 11.8 billion or USD 1.7 billion compared with RMB 8.8 billion in second half 2024. Total number of engines sold increased by 28.7% to 210,913 units compared with 163,843 units in second half 2024. The increase in the total number of engines sold in the second half 2025 was primarily driven by a 49.2% year-over-year rise in truck and bus engine unit sales, which significantly outpaced the 13% year-over-year growth in market shares of truck and bus vehicles, excluding [indiscernible] and electric powered vehicles as reported by the China Association of Automobile Manufacturers, CAAM. Truck engine unit sales in second half 2025 rose by 59.4%, led by a 146.1% year-over-year gain in heavy-duty truck engines. Off-road engine unit sales increased by 7.5% year-over-year, led by strong growth of more than 22% in both industrial and marine and genset unit sales, offsetting lower agricultural engine unit sales. Gross profit increased by 58.4% to RMB 2.2 billion or USD 317 million, up from RMB 1.4 billion in second half 2024. Gross margin increased to 18.9% in second half 2025 compared with 15.9% in second half 2024. The increase was mainly due to higher unit sales volume, a change of sales mix with higher unit sales of heavy-duty and high horsepower engines and continuing cost reduction initiatives. Other operating income decreased by 44.1% to RMB 224.5 million or USD 31.9 million compared with RMB 401.5 million in second half 2024. The decrease was mainly due to lower government grants. Research and development expenses increased by 48% to RMB 874.9 million or USD 124.5 million compared with RMB 591.1 million in second half 2024, mainly driven by higher experimental costs, increased personnel expenses, higher mold costs and impairments related to fuel cell development. Total R&D expenditures, including capitalized costs, were RMB 974.2 million or USD 138.6 million, representing 8.3% of the revenue in second half 2025 as compared with RMB 726 million or 8.2% of the revenue in second half 2024. Selling, general and administrative SG&A expenses increased by 4.9% to RMB 1.1 billion or USD 157.7 million from RMB 1 billion in second half 2024. This increase was mainly due to increased personnel expenses and higher consultancy fees, partially offset by lower accounts receivable provisions compared with the same period last year. SG&A expenses represented 9.4% of the revenue in second half 2025 compared with 12% for second half 2024. Operating profit rose by 193.1% to RMB 469.2 million or USD 66.7 million from RMB 160.1 million in second half 2024. Operating margin was 4% compared with 1.8% in second half 2024. The increase was generated by higher unit sales volume, a change of sales mix with higher unit sales of heavy-duty and high horsepower engines and lower SG&A expense as a percentage of the total revenue. Finance costs decreased by 20.2% to RMB 29.6 million or USD 4.2 million from RMB 37.1 million in second half 2024, primarily due to lower bank term loans and reduced bills discounting. The share of financial results of the associates and joint ventures decreased by 15.1% to RMB 49.7 million or USD 7.1 million compared with RMB 58.5 million in second half 2024. The decrease was mainly due to reduced profits at Y&C Engine Co., Limited. Income tax expense was RMB 213.5 million or USD 30.4 million compared with RMB 26.4 million in second half 2024. The tax increase was due to higher profits in second half 2025 as compared with second half 2024 and higher deferred tax expenses. Net profit attributable to equity holders of the company increased by 107.4% to RMB 171.6 million or USD 24.4 million compared with RMB 82.7 million in second half 2024. Basic and diluted earnings per share was RMB 4.57 or USD 0.65 compared with RMB 2.19 in second half 2024. Basic and diluted earnings per share for second half 2025 and second half 2024 were based on the weighted average of 37,518,322 shares and 37,809,824 shares, respectively. Now we will review the unaudited financial results for the fiscal year ended December 31, 2025. Revenue increased by 20.9% to RMB 24.7 billion or USD 3.5 billion compared with RMB 19.1 billion in FY '24. The total number of engines sold in FY 2025 increased by 29.4% year-over-year to 461,309 units compared with 356,586 units in FY 2024. Truck and bus engine units rose by 42.8% compared with CAAM data for vehicle market sales growth, excluding gasoline and electric powered vehicles of 4.5% for 2025. Total truck engine unit sales rose by 50.7% year-over-year compared with a 5.9% year-over-year increase from CAAM data for truck unit sales. Heavy-duty truck engine sales increased by 80.1% year-over-year in 2025, followed by a 34.2% year-over-year increase in medium-duty truck engines and a 67.6% year-over-year improvement in light-duty truck engine sales. Off-road engine unit sales increased by 13% year-over-year with both industrial and marine and genset unit sales growth of more than 24% year-over-year, offsetting lower agricultural engine unit sales. Gross profit increased by 44.3% to RMB 4.1 billion or USD 578.7 million from RMB 2.8 billion in FY 2024. Gross margin increased to 16.5% compared with 14.7% in FY 2024. The increase was mainly due to higher unit sales volume, a change of sales mix to higher unit sales of heavy-duty and high horse engine power -- high horsepower engines and continuing cost reduction initiatives. Other operating income decreased by 22.5% to RMB 445.9 million or USD 63.4 million compared with RMB 575.7 million in FY 2024. This was primarily due to lower bank interest income and reduced government grants. R&D expenses increased by 37.3% to RMB 1.4 billion or USD 192.3 million compared with RMB 984.7 million in FY 2024, primarily driven by higher experimental costs, increased personnel expenses and impairments related to fuel cell development. Yuchai had continued with its initiatives to enhance the engine efficiency and performance of its National VI and Tier 4 emission standard compliant engines and power generation engines for data centers and marine applications, while also advancing its new energy solutions. Total R&D expenditure, including capitalized cost was RMB 1.5 billion or USD 217.1 million, representing 6.2% of the revenue in FY 2025 compared with RMB 1.2 billion or 6.2% of the revenue in FY 2024. SG&A expenses increased by 14.3% to RMB 2.1 billion or USD 294.7 million, representing 8.4% of the revenue in FY 2025 compared with RMB 1.8 billion or 9.5% of the revenue in FY 2024. This was mainly due to higher personnel expenses and consultancy fees as well as increased sales and service expenses that partially offset lower accounts receivable provisions. Operating profit increased by 82.7% to RMB 1.1 billion or USD 155.2 million compared with RMB 597 million in FY 2024. The operating margin was 4.4%, up from 3.1% in FY 2024. Finance costs decreased by 20.8% to RMB 61.8 million or USD 8.8 million from RMB 78 million in FY 2024, primarily due to lower bank term loans. The share of financial results of the associates and joint ventures increased by 9.4% to income of RMB 111.1 million or USD 15.8 million compared with income of RMB 101.5 million in FY 2024. The improvement was mainly driven by higher profits of 18.8% at MTU Yuchai Power Company Limited and increased profits at Guangxi Purem Yuchai Automotive Technology Company partially offset lower profits at Y&C Engine Co., Ltd. Income tax expense increased by 106% to RMB 329.7 million or USD 46.9 million compared with RMB 128.8 million in FY 2024. The tax increase was driven by higher profit in FY 2025 as compared with 2024 and higher deferred tax expenses. Net profit attributable to the company's shareholders increased by 66.3% to RMB 537.4 million or USD 76.5 million compared with RMB 323.1 million in FY 2024. Basic and diluted earnings per share rose by 74.4% to RMB 14.32 or USD 2.04 compared with RMB 8.21 in FY 2024. Basic and diluted earnings per share for FY 2025 and FY 2024 were based on the weighted average of 37,518,322 shares and 39,335,753 shares, respectively. Now we'll go through some balance sheet highlights as of December 31, 2025. Cash and bank balances were RMB 7.9 billion or USD 1.1 billion compared with RMB 6.4 billion at the end of FY 2024. Trade and bills receivables were RMB 10.4 billion or USD 1.5 billion compared with RMB 8.8 billion at the end of FY 2024. Inventories were RMB 5.6 billion or USD 791.8 million compared with RMB 4.7 billion at the end of FY 2024. Trade and bills payables were RMB 11.1 billion or USD 1.6 billion compared with RMB 8.5 billion at the end of FY 2024. Short-term and long-term loans and borrowings were RMB 2 billion or USD 287.4 million compared with RMB 2.5 billion at the end of financial year 2024. I will now turn the call over to Kevin for a comment for Q&A section.
Kevin Theiss: Thank you, Mr. Loo. Please note, some officers of China Yuchai are remotely calling into the conference call. This may result in a slight delay in providing answers to some questions. We apologize for any inconvenience, and thank you for your patience. If you would like to ask a question in Chinese, please kindly translate your own question to English before turning to the management for answers. And before we start the Q&A, we would also like to announce that management will be attending the forthcoming Jefferies Conference on March 19, the HSBC Conference on April 14 to the 16, Bank of America Merrill Lynch Conference in Shenzhen on May 13, JPMorgan Conference on May 20 to 22; and the UBS Conference in Hong Kong on May 26 to 29. If you are interested in a one-on-one or a small group meeting, please contact the salespeople at these banks. Given the tight meeting schedule and travel plans, we will not be able to accept meeting requests outside the conference venues. Now operator, we are ready for questions.
Operator: [Operator Instructions]
Choon Sen Loo: Operator, I've seen the questions online. Okay. So I'll read out the questions from [indiscernible].
Unknown Analyst: So the question is that thanks for information and congrats on the strong results by year-over-year. Can you potentially share more on much higher expenses in second half where effective tax rate is about 44%.
Choon Sen Loo: Okay. I'm Choon Sen, CFO of CY. So I will take these questions. So I think this questions are tax expense, we should look at the full year, right? So from a full year basis, there's a 7% to 8% higher due to the deferred tax. So on a year-on-year basis, we were off about a net basis RMB 100 million. So that is actually noncash item. That is also due to the [indiscernible] of accounting that we look at the future profits for all entities. And eventually, then we need to impair those deferred tax assets that should be shown to be assessed. So we -- the company has started to write off those deferred tax assets and reduce it to the level of -- to sustain for the future profit. That's also part of the accounting requirements that we have done that. Yes. So if you exclude that, so we will come down to about 20% to 21% effective tax rate on a year-on-year basis. So the changes is probably only about 1% to 2% if you look at 2025 and 2024. Okay. I hope that answers your questions, [indiscernible].
Operator: We do have questions from the phone line. The first question comes from Wei Shen of UBS.
Wei Shen: My question is about the other operating income. I found that in 2024, it decreased a lot. And I'm wondering what's the reasons and what's the outlook in 2026?
Choon Sen Loo: Okay. I'm Choon Sen here. So your question is on the vision [indiscernible]. The question is on operating other income, right? I just want to confirm your question.
Wei Shen: Yes.
Choon Sen Loo: Okay. So the reduction is mainly due to the lower government grants. So in 2025, probably a lot of people on-call may know that they are quite tighten up the incentive policy issued by the Chinese government. So that has reduced substantially. It's actually half of the government grant that we have received in 2024 -- in 2025 compared to 2024. So is your question -- next question is that whether that will continue this trend, right? That one, again, we won't project that what will be the incentive from the government. But for now, I would think that the trend probably will remain as 2025.
Wei Shen: Okay. My next question is about the share of the joint venture had a profit in 2025 because we only have the combined results, we don't have the details. Can -- do you have the numbers for the MTU joint venture? What's the profit growth for the joint venture?
Choon Sen Loo: Well, we'll let [ Kelvin Lai ] answer that he's the Chairman of MTU. He can tell you about it.
Unknown Executive: Okay. Thank you for the question. The joint venture last year and then they generate the net profit, it is about RMB 211 million. So they're increasing by 22% and then from the year 2024. But the sales volume and also the revenue is much higher, about 30% plus increase. The reason why the profit not as good as the volume sales or the revenue generated because of the product mix has been changed and we sold less the 20-cylinder engine and the profit and also the revenue is a little bit lower than the other version.
Operator: Our next question, we have the line from Fuyin Liang from Bank of America.
Fuyin Liang: This is Fuyin from Bank of America. So I also have two questions for the management team. The first one is that in the second half in 2025, we see that the company's gross profit margin improved quite a lot year-over-year. So could you please elaborate more about the reasons behind? And is it because we have more delivery to the power generation clients so that we have a better product mix and hence, the higher gross margin? That's the first question.
Weng Ming Hoh: Okay. Let me answer that question. Actually, if you look at the unit sales that we had disclosed in the announcement, the unit sales actually gone up by about 30%. So that's one of the major reasons why the profit improved is due to the increase in volume. And two, also because of our high horsepower engines, we sold more than we did last year. I mean, again, significantly more. If you look at our numbers gain in the announcement, gone up from 750 units to 2,000 units. So those are two major contributors to the improved performance. Of course, with the higher volume that we have, higher unit sales, that will kind of leverage the fixed cost that contributes to the better gross margin too.
Fuyin Liang: Okay. So I have a follow-up question. So given the better product mix in 2025, so what's our guidance for 2026?
Weng Ming Hoh: It's going to be quite challenging, difficult to provide a good guidance in China. In China, the sales, a lot of it is due to government policy -- is driven by government policies, right? So we haven't seen much yet. Last year, one of the biggest reasons for the increase in revenue or unit sales is because of the government policy, the replacement policy, Guo Sanqua. So that one has actually drove quite a fair bit of our vehicle sales and also quite a bit of our non-vehicle sales as well volume. So whether or not the government is going to continue with that and how strongly we're going to push that next year is yet to be seen, and that will determine the impact on the overall unit sales growth. But however, there is a what's called bright spot. We see a lot of big demand in the data centers last year, and that has maintained, and we expect it will improve this year, but it's hard to give you a percentage to the growth. So I think we expect that to improve by double digit this year for the data centers. So overall, I think this year's non-data center sales is going to be more or less the same if the government continues with the [indiscernible] policies last year.
Fuyin Liang: So my second question is about our R&D expenses. So in 2025, we see that R&D expenses increased over 30%. So looking at 2026, what do you expect R&D expenses growth rate? And what's our key R&D focuses looking at 2026 and 2027?
Weng Ming Hoh: Okay. R&D expenses has grown by around about 5% of our revenue, right? So if he goes [indiscernible] same type of revenue. The other one that we should talk about is that what type of research [indiscernible]? There are a few things that we're working on one of them is, of course, the new energy side of things. We are still developing and continue to develop on the new energy side, particularly in the range of standard EVs and to try to get our system, which is already commercialized to be set into or develop into our customers' vehicles. And other areas will be new -- kind of new areas -- new energy systems, things like ammonia, methanol and hydrogen power combustion engines other than fuel cells, right? So if you -- and also, the Chinese government is now also considering introducing National VII emission standards in the coming 2 to 3 years. So for that, we are also starting to do some R&D to get ourselves ready for that emissions requirement. So there are quite a few areas that we're working on in addition to continuous improvement on the product, to get more efficient and more fuel efficient as well. So there are quite a few areas working on.
Operator: Our next question comes from Ying Xu of CICC.
Ying Xu: Congratulations. So I have two questions to ask. The first one is about the future business of the HPP engines. We noticed that Caterpillar has announced its reciprocating generators can be used as prime power for data centers. So how does [indiscernible] view this industry trend? And do we have some existing natural gas engine products and technologies to support these industry trend? This is my first question.
Weng Ming Hoh: Kelvin, would you like to...
Unknown Executive: Yes. Let me take this question, yes. The high horsepower engine, the business forecast and then it still depends on the development of those Internet Service Provider and then how fast they build the data center. So we do expect there will be still a growth in the year 2026 when comparing to 2025, but we don't have the exact figure because -- and then so far, then we don't receive -- I mean, all the order and then from the wireless customer. Regarding on your question, regarding on the natural gas generator and then the -- from Yuchai, and then we do have our natural gas engine for the power generation. We have the technology and we have the right product as well. And our product, the natural gas engine will be very similar to the diesel engine. And then they had using our 16 VC engine and then that will be generated, I mean, about 2 megawatt for the power generation using natural gas. But so far and then the application of the natural gas for high horsepower is mainly on the industrial application at the moment because in the region of China or Asia and then -- I mean, the customer and then we were considering the cost of the engine and then they are not using the natural gas engine for the data center at this stage.
Ying Xu: Very clear. So my second question is about our significant market share gain in truck and bus engines, especially in 2025. So how do you view the 2026 outlook for domestic truck and bus industry sales and whether market share growth can be sustainable? This is my second question.
Weng Ming Hoh: Okay. So you're talking about vehicle engines, the major vehicle OEMs in the market, some of them are using our engines. In particular, I think we have been working with the vehicle OEMs for quite a while to get our engines certified and designed to their vehicles. And one of two of them have already come to fruition last year. So -- and that's why we see a big growth in our heavy-duty truck segment of market, right? So with that, we expect that to continue to 2026, barring any unforeseen. So yes, we do expect to see some continued growth in that area.
Operator: [Operator Instructions] Our next question comes from Yiming Liu from Haitong Securities.
Yiming Liu: So I've got two questions. So first one is about your backlog, especially for those associated with the data center business. So if we compare your backlog right now and like half a year ago, so I'm just wondering, is that getting larger? Or if you look at the demand and supply, so is the supply getting more and more constrained, it's getting more and more tighter. Is that what is happening for those data center engines?
Weng Ming Hoh: Kelvin?
Unknown Executive: It has to be -- I mean, separate the operation because for the Yuchai brand high horsepower engine, most of the component supply, they are generally come from the China. So that the -- I mean, on the supply side and then we didn't have much problem there. And then because they had providing the most component for our engine assembly. But the cost-wise and then they are increasing the price this year, mainly because of the raw material increasing recently. And so that cost and then our cost up. But for the joint venture side and we do have the bottleneck and then regarding on the supply because of the supply chain from our partners and from Germany and then they do have some constraint and causing the supply of the component will be limited and then for the operation in the Chinese joint venture.
Yiming Liu: All right. But I guess I didn't get it clear. So I'm trying to ask about your backlog, I mean, the order that you received from your customer. So is that -- is the size of that getting larger during the past few months?
Unknown Executive: No. I mean we are still working very hard to fulfill those requirements. And the -- I mean, the delivery and then so far is still about between 3 to 4 months anyway.
Yiming Liu: All right. Okay. And my second question is about exports. So do you see any like increase on your European business? And what is the like the detailed segment about that? Is that about like diesel engines or gas engines? Or I mean, what is the outlook of your European business?
Unknown Executive: Are you referring to high horsepower engine or referring to the truck engine?
Yiming Liu: Mostly about the large horsepower engines.
Unknown Executive: Okay. Yes. For the export market, if we are referring to the UTai brand the -- I mean, the UTai brand operation, our export markets only account for a small percentage, about 10% and mainly in Asia. But for the MTU joint venture side, there will be -- I mean, because we sell -- we sold by our OEM and those and then we will have about over 20% or 25% of the export opportunity, and it's also on growing as well.
Weng Ming Hoh: [indiscernible] export to the Asia market?
Yiming Liu: Yes, Asia market as well, yes.
Operator: At this time, there are no further questions from the phone line. We have now reached the end of our Q&A session. I would like to turn the call back over to Mr. Hoh.
Weng Ming Hoh: Well, thank you all for participating in our conference call. We wish each of you good health, and we look forward to speaking with you again. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect your lines.